Operator: Good day, ladies and gentlemen and welcome to the Superior Plus 2017 Third Quarter Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] I would now like to turn the call over to Mr. Luc Desjardins. Sir, you may begin.
Luc Desjardins: Well, thank you Chelsea and good morning, everyone, and welcome to Superior Plus conference call and webcast to review our 2017 third quarter results. I am Luc Desjardins, President and CEO. Joining me today is Beth Summers, Senior Vice President and CFO; Darren Hribar, Senior Vice President and Chief Legal Officer; and Rob Dorran, Vice President, IR and Treasurer. For this morning call, Beth will start by providing a high level review of our financial results for the third quarter, which we released yesterday and an update on the 2017 and 2018 financial outlook. And then, I will close with an update on our Evolution 2020 strategic initiatives including our business development activities accomplished this year. Following the quarter end Superior completed the acquisition of ADI and R.W. Earhart, the ADI acquisition was our fifth tuck-in in 2017. We’ve exceeded our Evolution 2020 target of two to four tuck-in per year. The five tuck-ins and the Canwest acquisition are anticipated to contribute more than $70 million of EBITDA, including the estimated synergy from Canwest that will be achieved by the end of 2019, so for full year ending rate at this stage of $70 EBITDA and 2020. In the third quarter, Superior delivered 65% increase in adjusted EBITDA and 83% in the AOCF per share, compared to quarter three 2016. Similar to the second quarter, the strong improvement in the chlor-alkali business more than offset the weakness experienced in their Supply Portfolio Management segment of our Canadian Propane Distribution. I’ll now let, turn the call over to Beth.
Beth Summers: Thank you, Luc, and good morning everyone. Before, I begin I would like to remind you that some of the comments made today maybe forward-looking in nature and are based on Superior’s current expectations, estimates, judgments, projections and risks. Further some of the information provided refers to non-GAAP measures. Please refer to the third quarter MD&A for further details on forward-looking information and non-GAAP measures. I would also encourage listeners to review the Management Discussion and Analysis posted on SEDAR and on our website yesterday, which includes financial information for the third quarter, as we won't go over each financial metric on today's call. This will allow us to move more quickly into the question-and-answer period. Overall, we’re pleased with the third quarter results .Consolidated adjusted operating cash flow or AOCF per share before transaction and other costs with $0.11 per share which was 83% higher than the prior year quarter due to a decrease in realized foreign currency hedging losses, a modest increase in EBITDA from operations contribution from Canwest of $2.9 million and a decrease in corporate costs. This is partially offset by increased interest expense and cash taxes. Superior also incurred $19.5 million in transaction and other costs in the third quarter, related to the Canwest acquisition and the tuck-in acquisitions. Transaction and other costs were $1.8 million lower than the prior year quarter. Now turning to the individual business results. Energy Distribution EBITDA from operations excluding Canwest for the third quarter was $0.2 million compared to $3.9 million in the prior year quarter, a $3.7 million decrease. This decrease was primarily due to lower gross profits in the Canadian Propane Distribution business and other services. Canadian Propane Distribution gross profit decreased $2 million, this is primarily due to the negative impact of supply market fundamentals in the Canadian Propane market, similar to what was experienced in Q2 2017 and sales mix related to higher wholesale volumes. Average retail margins were consistent with the prior year, well overall average margins including wholesale were $0.175 per liter which compares to $0.228 per liter in the prior year quarter. Sales volumes increased 59 million liters driven primarily by higher wholesale volumes as we see continued benefit from our sales and marketing initiatives focused on selling more propane and butane to third-party customers. USRF gross profit modestly decreased primarily due to the impact of the stronger Canadian dollar on U.S. denominated gross profit. Sales volumes decreased 48 million liters, primarily due to a decrease in wholesale volumes related to sales and marketing initiatives focused on more profitable wholesale business. Average unit margins increased $0.009 per liter, compared to the prior quarter, primarily due to sales mix partially offset by the impact of the stronger Canadian dollar. Excluding the impact of foreign exchange USRF unit margins increased by approximately 20% compared to the prior quarter. Other services gross profit decreased $1.5 million as the prior year quarter included a service revenue for works completed on a large scale project in BC. Cash, operating and administrative costs were $76.8 million in the third quarter consistent with the prior year quarter. Superior Energy Distribution EBITDA from operations for 2017 is anticipated to be consistent to modestly lower than 2016, primarily due to the negative impact from supply market fundamentals in Canadian Propane Distribution. Energy Distribution EBITDA from operations for 2018 is anticipated to be higher than 2017 primarily due to the contribution from Canwest propane and the tuck-in acquisitions completed in the Northeast U.S. and Canada. Turning now to Specialty Chemicals. EBITDA from operations for the third quarter was $29.6 million an increase of $4.3 million compared to the prior year quarter driven primarily by improvements in the chlor-alkali business. Chlor-alkali gross profits were higher than the prior year primarily due to an increase in sales volumes and an increase in netbacks. Hydrochloric acid sales volumes increased 28%, primarily due to higher oil and gas drilling demand in the U.S. And caustic potash, sales volumes increased 23%, primarily due to higher demand from the Agriculture sector. Caustic soda netbacks increased 17% due to the higher North American demand in the impact of exports from the U.S. Gulf Coast. Hydrochloric acid netbacks increased 19% compared to the prior year quarter due to increased demand. Sodium chlorate gross profits were modestly higher due to a decrease in production costs and a slight increase in sales volumes, offset and in part by a modest decrease in sales prices. Operating expenses were $34.9 million in the third quarter, an increase of $2.3 million primarily due to higher distribution costs. As a result, Specialty Chemicals in 2017 EBITDA from operations is anticipated to be higher than 2016, primarily due to continued strength in chlor-alkali market. As we look to 2018, Specialty Chemicals EBITDA from operations is anticipated to be consistent to modestly lower than 2017. Sodium chlorate EBITDA is anticipated to be lower than 2017 as modest improvements in sodium chlorate pricing are expected to be more than offset by increases in electricity bill rate and the impact of the weaker U.S. dollar on U.S. denominated revenue and EBITDA. Chlor-alkali EBITDA is anticipated to be higher than 2017 due to an increase in sales volume and pricing. Lastly, to corporate results and the consolidated financial outlook. Canwest Propane contributed EBITDA of $2.9 million for the third quarter and corporate costs were $0.6 million lower than the prior year quarter, primarily due to a decrease in professional fees offset in part to an increase in long-term incentive plan costs related to Superior’s share price appreciation in the quarter. In the third quarter, Superior had realized gains on foreign currency hedging contracts of $1.8 million compared to realized hedging losses of $5.5 million in the prior year quarter due to an increase in Superior’s effective average hedge rate. Interest expense was $3.7 million higher than the prior year quarter, on increased average debt levels and effective interest rates. Debt levels were higher due to the Canwest acquisition and the tuck-in acquisitions completed in the first nine months. For 2017 financial outlook, we’re confirming our AOCF per share guidance of $1.50 to $1.75 per share. Please note the 2017 financial outlook exclude the impact of any estimated synergies from the Canwest acquisition. Superior is introducing our 2018 financial outlook, of $1.65 to $1.95 AOCF per share, which is in a 11% increase based on the midpoint of the 2017 and 2018 financial outlook. Superior is also introducing 2018 adjusted EBITDA guidance of $295 million to $335 million. On the debt management side, at September 30, 2017, the total debt to adjusted EBITDA leverage ratio was 3.4 times, which is above their long-term target as three times and includes the pro forma EBITDA from Canwest. From December, for December 31, 2017 we anticipate debt to adjusted EBITDA to be in the range of 3.2 times to 3.6 times. For December 31, 2018 we anticipate debt to adjusted EBITDA to be in the range of 3 times to 3.4 times which is consistent with our long-term range of 3 times. I’ll now turn the call back over to Luc, to provide an update on our acquisitions and our outlook for the remainder of 2017 and the full year 2018.
Luc Desjardins: Well, thank you Beth. Since our second quarter release we have been focused on closing the acquisition of Canwest and executing on the tuck-in acquisition strategy. We’re able to close on the Canwest acquisition on September 27, following receipts of regulatory approval from the Competition Bureau. We received a favorable outcome from the regulatory review as well require to divest of less than 5% of the retail propane volume and adjusted EBITDA of Canwest base on the TTM result as of June 30, 2017. Further, we are still highly confident in our $20 million and estimate synergies even with the required small divestiture. We now have a strong Canadian footprint with great exposure to anticipated recovery of Western Canadian oil field and commercial sector. On the integration and synergies, we have a dedicated team focused on integration and they are working on the planning and strategy to deliver on the operational cost efficiencies, while continuing to excel the customer service of Canwest customers. On August 1st, we closed the acquisition of Yankee Propane and Virginia Propane to expand our footprint in the Eastern part of U.S. On October 2nd, we closed on the acquisition of Earhart Propane Distribution assets, which extends our U.S. footprint in Ohio. These acquisitions demonstrate our commitment to the Evolution 2020 strategy to grow the energy distribution business with tuck-in propane acquisition to leverage our solid operating platform and achieve operational cost efficiencies. Our pipeline of acquisition opportunities is robust. On October 31st, we closed on the acquisition IVI, which was our first tuck-in in the Specialty Chemical business and our fifth tuck-in during the year 2017. Turning now to the individual business unit outlook, for Energy Distribution EBITDA from operation for 2018 is anticipated to be higher than 2017. EBITDA from Canadian Propane is anticipated to be higher due to the full year results from Canwest and anticipated some synergy during the 2018 year. As well as the full year results from the small tuck-in acquisition in Canada are complete in the 2017 year. Gross profit and cash operating costs within the Canadian Propane Distribution anticipate to increase in 2017 on higher volume related expense due to full year contribution from Canwest. Supply Markets Fundamentals in the Canadian Propane Distribution business are anticipated to be consistent with the 2017. U.S. Refinery Fuel should benefit from full year contributions from Yankee, Virginia, Earhart, normal weather ongoing operational improvement in sales and marketing initiatives. Average weather as measured by degree days, for 2018 is anticipated to be consistent with the five year average period. Our Specialty Chemical EBITDA from operation 2018 anticipated to be consistent modestly lower than 2017. Sodium chlorate EBITDA in 2018 is anticipated to be lower than 2017, as modest improvement in sodium chlorate pricing expect to be more than offset by increased in the electricity bill rate and the impact of the weaker U.S. dollar compared to 2017. Chlor-alkali EBITDA in 2018 is anticipated to be higher than 2017 due to the increase in sales and volume and continuous increase on pricing. Lastly, sodium chlorate EBITDA in 2018 is anticipated to be higher than 2017, due to the tuck-in acquisition of IVI. To wrap up the call, I would like to highlight the work we have done in 2017 and how it's aligned to our Evolution 2020 mandate. We’re seeing great success with additional M&A focus and resource in the Energy Distribution business to identify and execute on propane acquisition in the Northeast USA and nearby regions. We have been the primary focus on tuck-in acquisition and Energy Distribution business, but still remain active and evaluating opportunity in chemical space as evidence on our IVI acquisition. We have now closed five tuck-in acquisitions in 2017 which is above the high-end of our aspiration to tuck-in of two to four per year. Operationally, we’re focused on the digitalization strategy leveraging our strong platform of Energy Distribution business. We have ordered additional tank sensors, which are anticipated to improve our delivery, efficiency and customer service across the energy distribution platform and including Canwest and including our U.S. platform. On a final note, Superior will not be hosting an Investor Day in November this year. We’re planning to hold our Investor Day in early 2018 most likely in the second quarter, we will provide more detail following our fourth quarter release. With that, I would like now to turn to the question period.
Operator: [Operator Instructions] Thank you. And our first question comes from the line of Steven Hansen with Raymond James. Your line is open.
Steven Hansen: Yes, good morning guys. Just two quick ones if I may, first on the tuck-in side, I did notice that the Earhart put you into a new region in the Ohio area, just curious about the boarder opportunities to consolidate some and get some greater scaler critical master in that region?
Luc Desjardins: Yes absolutely, first anything that’s East of Mississippi, East Coast of USA going south were good to look at operation. We always like to do if possible, always and we’ll not always fill that way. We like to buy our large line, so Earhart is the largest independent versus the three big MLP propane distributor in Ohio. So now the couple of add-on tuck-in are going to be very rewarding for us. So, absolutely we’re expected to do some of that in 2018.
Steven Hansen: Okay helpful. And then just on outlook for the chlor-alkali business you’ve obviously seen some good strength in the caustic pricing as well as hydrochloric, I’m just trying to get a sense of what kind of execution you guys have for next year, how to predict or understand. But, if you suggest in your guidance you’re expecting pricing to hold to some degree, what can you tell us or what you are thinking on pricing for next year for the chlor-alkali complex?
Luc Desjardins: Yes and we’re seeing some large player, we’re very small player, but we’re well located and the, with their location in Wisconsin as well as Western Canadian. So, we do see good increase in price and continued volume increase. So, we’re now equipped like the big player to predict close to the reality of what could happen in that market, but certainly it’s on the upswing. Volume is continuing to increase, price are continuing to increase and I hope we do our best to, plan to forecast for 2018, but I hope we were potentially conservative, I hope. But, certainly as much realistic as we can be upside on volume and upside on pricing that we see.
Steven Hansen: Okay, great that helps. Thanks.
Luc Desjardins: 5% to 10%, we’re comfortable with at least 5% to 10% on the increase in price.
Steven Hansen: Understood, thanks.
Operator: Thank you. And our next question comes from the line of Joel Jackson with BMO Capital Markets. Your line is open.
Joel Jackson: Hi good morning Luc and congratulations on closing the Gibson acquisition or transaction.
Luc Desjardins: Joel, we can hardly hear you.
Joel Jackson: Oh sorry, is that okay?
Luc Desjardins: Hello?
Joel Jackson: Hi can you hear me better?
Luc Desjardins: Yes that’s a bit better Joel.
Joel Jackson: All right, sorry. So, can you talk a little bit about propane margins that’s come off a little bit, but they are more back into the ranges we saw couple of years ago. What should we expect the Canadian Propane margins going forward in 2018?
Luc Desjardins: Yes, I’m glad that you asked that question, maybe Beth you can take that one on?
Beth Summers: Sure, yes as you would have seen in the third quarter, our margins were $0.175 per liter and I would compare to last year of the $0.228. So, where I’d like to start is our retail margins are consistent really what you are seeing is the impact of the differentials that versus Superior Gas Liquids business and that impact. Last year it was very robust, the differentials and the EBITDA being driven by that, where as this year we aren’t seeing the same environment. And this would be consistent with what we saw actually in Q2 as well. But from there our expectations for the full year would have the margins more so in the range of $0.18 to $0.20 which we think from our perspective is a good number going forward including the Canwest numbers as well.
Luc Desjardins: And don’t forget Joel, that we’re growing that wholesale business a lot. And you are really making not a lot of fixed cost to that wholesale business. So you are making small margin on big volume so bring the average price down as well.
Joel Jackson: Okay that’s helpful. So you did a lot of acquisitions and tuck-ins this year on the propane and Energy Distribution side, what is your appetite for more of the transactions in 2018, what’s out there what are the multiples in the market what’s your geographical preference is now?
Luc Desjardins: Okay, so there is three questions, the geographic is east of Mississippi, north to south, east USA. We’re in the good zone, because when we started to think to add-on acquisition, and you know we got out of CPD and start to take some cash for Canwest acquisition and start to grow our propane USA business. We thought that the three MLP that are public we’re doing acquisition and if any of you study enhance follow those MLP not in a good shape, financially some are in really difficult position. And so the chemist stopped buying company, so it brought the average price of buying your small add-on or small mid-size company propane lower. And it took away some of the large buyer that we’re rolling them in over the years. So it give us a window of well, we’re now could be a real player. So two to four became four to six, and we have pipeline that’s pretty full, we have lot of opportunity some I hope are going to be a bit larger, hydro has a good size and more of that I hope. So, good pipeline, good opportunity a little bit in the east of Canada, Ontario, Quebec we can still, look at add-on acquisition not too many are available they are not for sale right with touch point would just about everybody. But in the U.S. there is a 1000 of them on the locations I’ve talked about and the territory I’ve talked about. So, we’re going to be really ruling them and I hope we can continue in the pace of 2017 and hopefully larger one and hopefully more of it, we’re ready.
Joel Jackson: Okay. Thank you.
Luc Desjardins: And the price you pay between six to eight time for a big one and then before synergies and to the previous question, sometime when you buy one like Earhart is another ton of synergy, but then you do add two or three around that one and you gain a lot. So six to eight and then coming down after we get scale and get some synergy.
Joel Jackson: Thanks Luc.
Operator: Thank you. And our next question comes from the line of Jacob Bout with CIBC. Your line is open.
Jacob Bout: Good morning.
Luc Desjardins: Hi Jacob.
Jacob Bout: Yes, I wanted to go back to the outlook for the chemical, so you’re saying on the chlor-alkali you’re expecting pricing to be 5% to 10%, but yet regarding for the overall segment there to be flat to down. So, I’m assuming that you are looking at the chlorate business you are expecting some weakness there? And it really comes down to what price and volume and if I think about the U.S. dollar impact as quite pricing not been very efficient with the U.S. dollar?
Luc Desjardins: So Beth will take on that one.
Beth Summers: Yes, Jacob I think as we look at chlorate into 2018 that is one of the factors. Overall as we see it we see perhaps some modest price increases, the challenge is where the Canadian dollar as you are saying as moved. Overall when we’re looking at chlorate and then in addition to that is also on mill rate, that we’re seeing in the increases. So, I think to answer your question on the efficiency of the market it doesn’t flow rate through to the overall pricing, as the Canadian dollar moves, the reality is it through time we’d hope that you can see the adjustments are all through. But based on what we believe right now it doesn’t happen immediately, it also can’t when you think about how the overall structure works for chlorate, where we tend to have ones, two year contract. So as the result of that, the pricing that we entered into contracts prior to the move in the Canadian dollar, not pricing isn’t going to change until those contracts are reopened.
Jacob Bout: I mean can you talk a bit about the electricity prices as well and what you are anticipating there?
Luc Desjardins: Yes, we’re kind of fortunate in the Buckingham plant in Quebec that the increase are really almost zero, close zero, but the rest of all the plants really getting at least 5% increase which is much double inflation. So and that as you all remember represents 80% of our variable cost of, so it’s a bit of a tough squeeze to be in, and thank god for this Buckingham plant that’s pretty big. But for the rest we’re just, we’re losing a few points there. Beth you want to add anything on that?
Beth Summers: No I think the important point is just that overall it’s roughly a 5% increase that we’re seeing across the board. So that hasn’t influenced as well, when you think again of the fact we have one to two year type contracts in place.
Jacob Bout: Okay. And then can you just talk about the what we can expect from the R.W. Earhart and the International Dioxcide as far as revenue and EBITDA contribution?
Luc Desjardins: Yes for 2018, so we’re, pleased with 11%, I think yesterday we showed we would never overly optimist and we’re realistic and their forecast. So 11% bottom-line improvement for next year, we feel is good. But what we have to remember is we’re not gaining the full gain of all of acquisition in 2018. Two-third of our synergy gain comes in 2019 for full run rate in 2020. So, we have two good years ahead of us, because of that and add-on acquisition will continue to have, pay the right price and we get synergy and we have good operating business model. So, 11 but, not that I want to forecast 2019 immediately, but good couple of years ahead of us, because lot of our synergy are going to take that time to be executed on.
Beth Summers: Yes and to give you a sense Jacob for all the various tuck-ins looking at next year it’s roughly $10 million to $12 million.
Jacob Bout: Okay. Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Patrick Kenny with National Bank Financial. Your line is open.
Patrick Kenny: Good morning. Luc, you must have had some good foreside into Calgary weather in November when you move the offset east?
Luc Desjardins: You’re opening the door to something that’s close to my heart, because we’re operator here and we’re very close to our three businesses and it’s been a good move from that point of view. And very pleased with how we operate better as a company, because we’re touch point many time with all of our businesses. Thank you for asking that.
Patrick Kenny: That’s considered and an added bonus. Just on the Canwest synergies and I think, on prior calls before closing the transaction the message was really that the $20 million was very much low hanging fruit. And it also takes couple of years to hit that run rate, but perhaps now that you have the assets, you can speak to some of the strategies you might have to achieve, even more synergies of the acquisition and whether or not these strategies are more commercial upside related or still cost and efficiency related?
Luc Desjardins: So, I would call it the three buckets of synergy, we’re comfortable with the $20 million very solid, of course we’re just like a month and two it, we have the view of everything everything. I'm very comfortable with the $20 million. A lot of it is, you are looking at operation northwest -- lots of opportunities because they will lap a lot between the two businesses Superior Propane and Canwest. So, you have an opportunity at the top to take our digital strategy, customer service and call center that we've developed being to be best of class and apply that to the business model of Canwest. We see opportunity and operating more efficiently of getting the service level to customers top and from a truck, train and location lots of money. So, you have the efficiency in the service level and the easy to do business with that we will spend tons of money in an effort to get there our business model and when we apply the Canwest business model and ours, we see great opportunity in the customer to do more of that. Saving customer money actually and saving us time to offer delivery on time versus too many time going to the same location. Our digitialization strategy we just signed up for over 50,000 more digital system that will install, we hope most of the Canwest customer will introduce that. You remember the high 30, low 40 deliver service, fill time is now going to be more in the zone of 55. Lots of cost in operation to go 55 fill in versus 35, 40, and that will take time to apply. And then, on the operational and overhead of course and you have the overhead of Canwest, we have our overhead in Superior, so we don't need to do double overhead. And then, over a period of time, it will take three to four years. We presently will buy about 25% of our own supply, so we will gain from that. And over the next four years, we will take over the full supply of the Canwest propane supply that we can track then [indiscernible] they were not selling us that wholesale propane business, at the same time we saw a lot of distribution. So, we signed on and of course, by January there will be four years left, but that's going away. So there will be three buckets of money coming. The reason why the two years and have been kind of integration and you could do a lot in a year. As we start the fall season and we are really cautious, we don't want to lose a customer. We don't want to customer not to be serviced properly. So, we are really going at it and the winter not doing too much, waiting for the spring to go aggressively in 2018 and do as much we can when the next fall starts, we probably not finished totally and then you'd take a breath -- breathing, you want to be servicing customer, number one. And then, by 2019 you are all done. So, well organized, well prepared, what we have seen so far totally onboard with what we plan, $20 million solid, hard to predict more than that at this stage.
Patrick Kenny: Yes. I appreciate it. Its' early days to -- try to quantify synergies over and above that. So, I appreciate the color. The other question, I had was maybe Beth, if you want to take this one. But, just as you think about having deployed over 500 million in acquisitions this year and you benefit from that accretion, now confirmed in your 2018 guidance. How does reinstating some modest dividend growth fit into your evolution 2020 game plan? I mean is there certain EBITDA growth target that needs to be achieved or is it more tied to your peer ratio or debt to EBITDA ratio. And then, if you were to increase the dividend, would you mean more towards one-time increased or would you perhaps implement a modest annual dividend growth target?
Beth Summers: Yes. As we communicate it to the market, our target from a payout ratio perspective is 46% of our adjusted operating cash flows less our maintenance CapEx. So from that perspective, I mean that's something that we would look at going forward. I think at this point, it is something that we have discussions with our Board as we go forward. But, again, our long-term target remains at 40% to 60%, which we were comfortable provides us on an ongoing basis with enough room and enough liquidity. With liquidity cushion to address organic growth as well as periods of time when we do have weather that doesn't come in as expected et cetera.
Patrick Kenny: All right. That's great. Thanks guys. That's all I had.
Luc Desjardins: Thank you.
Operator: Thank you. And our next question is a follow-up question from the line of Steve Hansen with Raymond James. Your line is open.
Steve Hansen: Yes. I just wanted to follow up on the margin question as it relates to Canadian propane and supply group in that relative differential. Clearly, that was an issue in 2Q and in Q3. But, how did it stand, if you snapshot it today, have you started to see some rebalancing towards the differential that till exists or we still without any opportunity to arbitrage the market there?
Beth Summers: Yes. I mean, what we basically seen, it's been consistent, there hasn't really been any improvement or moving back to what we would have seen last year. But, just sort of put it in context, 2016 was extremely robust and we are sort that be opposite end of the spectrum right now. But, we -- from our perspective anticipate probably to see the same that we are seeing in Q3 into Q1 next year as well.
Steve Hansen: Okay. That's helpful. And then, just the last one if I may on -- Luc, I think you referred to your appetite for additional acquisitions on the propane side to get some criteria around that. But, what about on the specialty chemical side, what are you really looking at there, how robust is that specific part of the pipeline, is it complementary to your existing asset portfolio in chlorate or are you looking beyond that as well? Thanks.
Luc Desjardins: No. There is -- in chemical as you notice some giant players on the world basis, so not as easy as [Tasnim] [ph], like I mentioned that Tasnim now independent propane player in the east part of USA. But, we have always looked at chemical, is there any marketing and sales and distribution that aligned well with one of our product that chloride a very small acquisition but I'm so pleased because now, our EBITDA and our production of chloride is secure with our own marketing and sales. And this was a little division part of regionally Dupont, so I'm under the impression of two acquisition of Dupont in my career of small business but that small but small business. And initially you find that you have a lot more growth opportunity because there is kind of an orphan in a big corporation. So, we are going to continue to look at the distribution channel by segment, by product we make, is there any add-on that we have touch point with the end market. So, we are more in control of our future and like we do in Chlorate and now in Chloride very pleased with that. Now, on the scale, when we look at other scale is that too many small mid-size but larger one -- if there is a curve out of large corporation of a small business that fits expand our geographic exposure that we have, fits into some of our same customer we have -- customer maybe [indiscernible] there is more growth versus paper. We are probably not excited about that. And then, gives us another product to bring to those customers and helps us in the world basis to more spread out and cover more of the market. That would be something that we would look at. Now, from acquisition price and what we would need accretion of [Kores] [ph] we will have [indiscernible] that shows it make sense, it fits well, the core competence of [indiscernible] that capacity to be better together then on their own. We always look at those and something comes up, we will look at it seriously. They will be choppy, it's not like add-on that we can do tons. But, it's on their radar right now and the last year more than before, we had so much debt and we weren't linked before and we got out of CPD and SAM marketing business. So, we are now focused on two, anything that fits loose to that can bring us to the next level of size and opportunity absolutely.
Steve Hansen: Good luck. Thanks.
Operator: Thank you. And I'm sowing no further questions at this time. I would like to turn the call back to Luc Desjardins for closing remarks.
Luc Desjardins: So, I would like to thank you all for your time, participate in result and looking forward to the next one up through the New Year. All the best to everyone on the phone, we are having a good Christmas. And wish you all the best and see in the 2018.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.